Operator: Good day ladies and gentlemen, and welcome to the Airtel Africa results presentation for the year ended 31 March 2022. All participants are currently in listen only mode and they will be an opportunity to ask questions later during the conference. [Operator Instructions] I would now like to turn the conference over to Mr. Segun Ogunsanya. Please go ahead, sir. 
Segun Ogunsanya: Thank you. Hello, everyone. And thank you all for joining us on today's presentation and conference call. I will first cover the highlights and then Jaideep, who is going to take you through our financial results for the year. And after that, I will take you through some of strategic and operational developments before we then open the floor for your questions. If you turn to slide number 30, is summary of our performance. With our continuous strong revenue growth we have not only deliver financially, but we have also delivered strategically, operationally and sustainably. And I'm going to talk to these on slide number 4. Financially, I'm going to talk through the details. But at a very admin level, we continue to deliver a very strong revenue growth. EBITA margin is functional which is now at 49% and very strong earnings per share growth. As we do this, we continue to strengthen our balance sheet and improve our leverage position, now 1.3 times at the same time reducing our foreign currency debt level. This very strong financial improvement are not put of our continued strong operational developments. As we continue to expand our customer base, grow up by driver usage and invest in our network with almost 90% of our size now in 4G. All our service segments, mobile money and data continue to be our good engines with mobile money transaction alone, reaching $64 billion this year. Strategically the highlight is our receipt of a full license was to develop our mobile money services in our largest operation in Nigeria. We have also brought in $550 million of investment into the mobile money business. With both are minorities in Nigeria, we've completed houses in Tanzania, Madagascar, Malawi, generating gross proceeds of $284 million. In addition, we bought additional spectrum in Kenya and Malawi. On sustainability, which has always been at the core of our business, we have fully articulated our strategy with ambitions, goals and commitments for our business for our people, our community, and the environment. Sustainability now underpins our six pillar corporate growth strategy. On slide number five, we have shown how the business is delivered against six key objectives from mobile services revenue to dividend payout. And now you can see [Indiscernible] all of these six key objectives. With this very brief introduction. I'm going to hand over to Jaideep to take you through financial performance for the year. Jaideep please? 
Jaideep Paul: Thank you, Segun and good morning and good afternoon to all of you. Let me start with the key financial highlights. Slide 7, in overall terms, we have delivered a strong set of results for financial year 2022. We continued our revenue growth momentum and our EBITDA margin expansion. Full year revenue was $4.7 billion and underlying EBITDA was $2.3 billion revenue growth for the full year was 23.3% with underlying EBITDA growth of 31.2% in constant currency. Underlying EBITDA margin improved to 49% for the year that's about 3% improvement from prior year. Earnings per share before exceptional item almost doubled to $0.16. Our balance sheet position has continued to improve and now our leverage ratio improved to 1.3 times from 2 times in prior year. The board has recommended a final dividend of $0.03 per share. Therefore, the total dividend for the full year will be $0.05 per share. Coming to slide number 8, the regional performance. Revenue in Nigeria grew by almost 28% supported by both customer base growth of 5.8% and ARPU growth of 33%. Customer base growth in Nigeria was impacted by the NIM SIM regulation during the first half of the year, but return to growth in the region in the second half of the year, adding about 4 million customers during the second half of the year. Underlying EBITDA grew by 30%, with a margin improvement of 114 basis points and the margin now stands at 55%. In East Africa, revenue grew by more than 22% with an EBITDA growth of 32%. Underlying EBITDA margin reached almost 50% and improvement of 331 basis point in constant currency. In Francophone Africa, the customer base grew by almost 16% and revenue grew by 17%. Underlying EBITDA grew 28% with an EBITDA margin expansion of 337 basis points the EBITDA margin now stands at 41%. Coming to slide number 9. Performance of our key services.
Operator: Ladies and gentlemen please do stay in line well conference will resume shortly. Please do stay in line the conference will resume shortly. Ladies and gentlemen, apologies for the delay. We are just trying to reconnect the main venue. Ladies and gentlemen, we do apologize for the delay. We are trying to reconnect the main venue. Please remain online. The conference will continue shortly. Ladies and gentlemen we do apologize for the interruption please remain online the conference will continue shortly. Ladies and gentlemen we do apologize for the delay please remain online the conference will continue shortly. Ladies and gentlemen we do apologize for the delay please remain online the conference will begin shortly. Ladies and gentlemen, sorry for the delay in the presentation. Sir, we lost your line roughly the time that Jaideep started with his section, if you could please return to that page and just continue from there. We do apologize for the delay.
Jaideep Paul: Sorry for this disturbance. The line got disconnected, so good morning and good afternoon to all of you. Let me start with the key financial highlights. In slide 7, overall terms, we have delivered a strong set of results for financial year 2022. We continued our revenue growth momentum and our EBITDA margin expansion. Full year revenue was 4.7 billion and underlying EBITDA was 2.3 billion. Revenue growth for the full year was 23.3% and underlying EBITDA growth of 31.2% in constant currency. Underlying EBITDA margin improved to 49% for the full year. That's about 3% improvement from prior year. Earnings per share before exceptional items almost doubled to $0.16. Our balance sheet position has continued to improve and now our leverage ratio improved to 1.3 times from 2 times in the prior year. The board has recommended a final dividend of $0.03 per share. Therefore the total dividend for full year will be $0.05 per share.  Coming to slide number 8, revenue in Nigeria grew by almost 28% supported by both customer base group of 5.8% and ARPU growth of 33%. Customer base growth in Nigeria was impacted by the NIM SIM regulation during the first half of the year, but return to growth in this region in the second half of the year, adding about 4 million customers during H2. Underlying EBITDA grew by 30%, with a margin improvement of 140 basis points and the margin now stands at 55%. In East Africa, the revenue grew by more than 22% with an EBITDA growth of 32%. Underlying EBITDA margin reached almost 50% and improvement of 331 basis points in constant currency. In Francophone Africa, the customer base grew by almost 60% and the revenue grew by 17%. Underlying EBITDA grew 28% with the underlying EBITDA margin expansion of 337 basis point to 41%. Coming to slide number 9, performance of our key services. Voice contributed to half of the total revenue and grew by 15%. Data contributed 32% and mobile money almost 12%. Both data and mobile money services are growing about 35%. As you can see, our voice revenue growth of 15% was driven by growth of both our customer base and ARPU. Similarly, our data and mobile money revenue growth of about 35% was driven by both the customer base increase and ARPU growth. Data ARPU growth was mainly as a result of increased 4G penetration and 4G data usage per customer increased to 5.5 GB per month, much higher than our total average data usage per customer of 3.4 GB per month. Mobile money ARPU growth of 12% was driven by growth of cash in cash out transactions, merchant payments, B2B transfers and mobile service recharges. Coming to slide 10, this shows the incremental revenue contribution from our key services. Revenue in reported currency grew by 21.3%, while in constant currency growth of 23.3%. The differential was due to currency devaluation mainly in Nigeria and Malawi, offset by appreciation in the Zambian culture and Ugandans shilling. All our key services, segments of voice, data and mobile money contributed to the revenue growth. Coming to slide number 11, our underlying EBITDA grew by 29% in reported currency and absolute EBITDA for the full year was $2.3 billion. Currency devaluation had an adverse impact of $26 billion due to devaluation in Nigerian Naira and Malawian Kwacha, offset by appreciation of Zambian culture and Ugandan shilling for Shelly. The underlying EBITDA margin improved to 49% an increase of 296 basis points in constant currency. The improvement in margin was led by both revenue growth and improve operational efficiencies and discipline cost control. EBITDA flow through for the period was more than 60% during the last financial year. Coming to slide number 12, our mobile money customer base grew by almost 21%, mainly in East African market. Mobile money customer base penetration reached 20.4%, an increase of two percentage points. The total transaction value increased to more than $64 billion, driven by an increase in usage per customer by almost 40% and also the customer base growth of 21%. Underlying EBITDA was $217 million growing by 38% in reported currency and by 34% in constant currency with an EBITDA margin of nearly 49%. Coming to slide 13, our cash flow generation for the full year was $62 2 million, largely as a result of our improved EBITDA performance, and higher intangible CapEx in the prior year, partially offset by increased cash taxes resulting from higher operating profit. Slide 14, our capital allocation policy remains unchanged. As mentioned earlier, our priority is to invest in the business and at the same time, continue to aim at further strengthening the balance sheet. CapEx for the full year was $656 million in line with our guidance. CapEx guidance for the next year is slightly increased to now between 700 million and 750 million including the cost of now rolling out of our PSB operation in Nigeria. Our leverage ratio improved to 1.3 times from 2 times in the prior year. During the year we repaid $915 million of bonds in May, '21. And in March, '22, we repaid $505 million of bonds as a year earlier than their March, '23 redemption date. We are able to make these repayments because of our increased cash generation and by use the proceeds from Airtel money investment and tower sales. As mentioned earlier, in the first half of the year, the board has approved a revision to our dividend policy with a new base dividend of $0.05 per share for financial year 2022 from the earliest base dividend of $0.04 with a progressive dividend growth of mid to high single digit percentage in the subsequent years. The board has recommended a final dividend of $0.03 per share. Therefore, the total dividend for the full year will be $0.05 per share in line with our dividend policy. Slide 15, we continue to strengthen our balance sheet by firstly reducing our leverage now at 1.3 times of EBITDA. Secondly, reducing our foreign currency debt, especially at HoldCo, we have repaid total bonds of $1.4 billion during the year as a result of strong cash up-streaming across our workforce and proceeds from minority investment in mobile, money and tower sales. Over the last four years, our HoldCo debt was brought down to $1 billion from $2.7 billion. The remaining HoldCo debt of $1 billion falls due in May 2024. And thirdly, increasing our debt at OpCo level and whenever possible in local currency, our OpCo market debt increased by 35% to nearly $1.3 billion. The total weighted average interest rate was 5.6% versus 4.9% in the prior year, largely due to the repayment of the Euro bond in May 2021, which carried a lower interest rate of 3.4%. EPS, next slide. EPS earnings per share before exception lightened almost doubled over the prior year to $0.16 from $8.2 cents. This increase in EPS was largely contributed by the expansion of operating profit, partially offset by the increase in tax. We have made significant progress in delivering against our strategic initiatives. During the year, we sold approximately 2,600 towers across three OpCos with total gross proceeds of $284 million, out of which we have received $240 million so far. Secondly, we also received proceeds of $550 million from our investor in Airtel money business. In Nigeria, our buyback of 8.22% of minority shareholding has been completed successfully. And as you can see on the right side of the slide, there are several future opportunities that we are currently working on. Thank you very much. And now I will hand over back to Segun for the strategic and operational update.
Segun Ogunsanya: Thank you, Jaideep. I would now like to remind you of the tremendous opportunities we are addressing. If you turn to slide number 19, we've highlighted the opportunity presented by our markets. Fundamentally, the population or the industry dynamics of our markets continue to furnish us with a huge opportunity. We also have the strongest population growth rates in the world. And the most youthful populations with very young people continue to be key drivers of digitalization. Most young people Digital First, digital only, they consume data only on mobile devices. Moreover, markets are very low rates of customer penetration of good mobile voice and mobile data services compared to more developed markets, but also when compared to emerging markets. If you turn to slide number 20, opportunity for greater usage by our customers. Customer usage levels in our footprint for both voice and data remains significantly lower than those of developed markets and in many emerging market territories. Banking penetration levels continue to be very low, affording us an opportunity to help governments to drive financial inclusion in the countries through mobile money solutions. If you turn to slide number 21, we are very familiar with this slide. Our six pillars strategy remains fundamentally unchanged. [Indiscernible] continue to deliver strong double digit revenue growth across our regions and services. We have added two new elements. One is digitalization. And our focus on digitalization and focus on transformation of our products and services and our internal systems and processes as well. And this will increasingly or an accelerator for each of our six strategic pillars. Underpinning the whole group strategy is sustainability, describing a very strong commitment to good revenue, sustainable development, and action as a responsible business we’ve a slide on this a little later in the presentation. If you turn to slide number 22, we're going to speak to our network pillar. We've continued to add new network size, the new year with the 1,400 of this in rural areas. We have also maintained a very strong focus on modernizing and increasing capacity with almost 90% of our size now in 4G, and of our data capacity of the network's increased by over 40% to 16,900 terabytes per day. Our network uptime has gotten to over 99.5% and our network now covers 11 million more people than we did last year. We've added about 7,000 kilometers of fiber, increasing our total fiber footprint to about 65,000 kilometers. If we turn to slide number 23, [Indiscernible] Uganda, where we recently got an award of the fastest mobile network the 2022 Mobile World Congress, it is a function of a nationwide 4G network availability, which now covers over 90% of the population and also very extensive fiber rollout in Uganda. If you turn to slide number 24 going to speak about distribution which is also one of our key pillars of our strategy. Here you can see how we have continued to ascend both are exclusive and non exclusive distribution infrastructure.
Operator: Ladies and gentlemen, we do apologize for this. We will be linking the management presenters back online shortly.  Ladies and gentlemen, we do apologize for the technical difficulties. We have been rejoined by our main presenters. Sir you can continue.
Segun Ogunsanya: Apologies again, I got cut off on slide number 24 where I spoke about distribution and I was talking about what we did in DRC when we got cut off. So let me just start on slide number 25. Slide number 25 shows case study. Distribution pillar, strategy and action. DRC is it already large country, the largest by land size in Africa. A very low population densities, we have vast distances can be very disruptive towards customers abilities to physically engage in transactions. We therefore choose to establish a growth that no customer, none should have to travel more than one kilometer to use any of our services. We can achieve this by establishing a kiosk for every 2,500 people and an Airtel Money branch for every 10,000 people. We've already grown our customer outlets in DRC by 26% this year, and the number of Airtel money branches has increased by 67%. This focus on distribution at [Indiscernible] DRC customer numbers by almost 21% this financial year. If you move to slide number 26, it speaks about our data pillar. And our network design, technology with increasing fiber rollout as a possibility network with significant data capacities, and the flexibility to further expand with only limited modular investments. We have generally invested in 4G either of our many peers and across the globe, almost 18% of our sites are now 4G capable up 11% over the previous year. When combined with our smart data bundle packages these measures were to drive both data customer base growth of more than 15% and customer data usage by almost 50%. Kenya in East Africa is a great example of a data strategy and action. And you can see on this slide number 27 how a 26% increase in the number of our 4G sites coupled with 1,000 kilometers of additional fiber, there was double our network capacity. And together with further improvements in our distribution, this efforts to drive by data customer usage of up by over 57% and Kenya data revenues have grown by over 30%. Moving on to slide number 28, this speaks our mobile money strategy. Lack of traditional banking infrastructures in most of our markets in Africa, and very long distances, users must travel to find the branch means that the number of customers who are able to access traditional banking services is far lower than ever the numbers who have bank accounts. Our focus therefore, is largely on expanding the distribution network to make it easier for customers to put, digitize and get access to their cash or to transact where necessary. Accordingly you consider we've grown our exclusive channel numbers, those outlets specially put by us by over 44% this year, and our multi brand agents by almost 42%. The customer as opposed to drive uptick by almost 21% to 6 million customers by the end of the financial year and this was able to drive digital cash rotation with customer transaction values up by nearly 14% and recognition leading to total transaction value growth of 37% for the to over $64 billion. Next slide speaks more on our mobile money business. The key to mobile money remains a provision of our core services and an assured manner the first builds trust, flow with ease of use, the concept being physically close to our customers and to the reliability those touch points. I've been assured fluid all of the time. So customers can access with relative ease when they choose. Alongside this call is a developing ecosystem of financial services for emerging subscription services. It is very important for us to develop this ecosystem now to serve more subscribe customers whom we already banned and other smartphones and apps require as well as be prepared for the broader transition of the market in this direction. While many African markets are way ahead of other countries in terms of their use of mobile money our portfolio markets include a mix of beneficial levels, indicating significant remaining potential first to bring new customers onto the platform. So, we have been able to increase mobile money penetration in nearly all of our markets. In four countries, we have penetration reach to more than 50%. And there are several more where we believe we can significantly grow penetration. As to the Nigeria, we just got the license. The overall penetration in our mobile money markets is now 31% and we renewed PSB license in Nigeria, we should commence operations sometime this year. Slide number 30, you should continue evolution of a mobile money ecosystem. With this in the digital wallet, cash and cash app services as a major source of mobile money revenue. There's huge potential for this from increasing penetration with new customers. But there's also a continued diversification of the business towards additional business solutions, and also more sophisticated financial services. Slide 31 talks about opportunity from our new PSP license in Nigeria where we are very strongly positioned to deliver against this opportunity. The market of 200 million people, the most populous in Africa, and a cash economy of $440 billion with an unbanked population, estimated to be more than half of the adult population. We already have 44 mobile service customers in Nigeria and 30,000 is consumer shops, which are being transformed into mobile money outlets. We are in the final stages of developing operations. We hire some staff. We are publishing distribution lines, developed an app tested some of our platforms all by launch around the second quarter of this year. And we hope that the business will begin to make very meaningful contributions to our group numbers in financial year '24. Slide number 32 is win with people. In particular, I would point out a significant progress we've made in the diversity of [Indiscernible] five percentage points this year, to the level of female representation, more diversity. And we continue to be highly multicultural, with 35 different nationalities represented and one of the most ethnically diverse boards in the foot sea 100. Now on sustainability, you can see a summary of our sustainability strategy on slide number 33. This has four key pillars of how our business, people, communities, and environment. And now we are addressing material topics, which were identified through consultation with many stakeholders early in 2021. It also demonstrates our contribution to six of the UN SDG goals, which we believe can have the biggest impact. On sustainability strategy now underpins our group strategy, and our well established corporate purpose of transforming lives. It demonstrates our commitment to developing the infrastructure and services that will drive both digital and financial inclusion for people across Africa. We have now work streams each with a goal or a commitment, which addresses the business material topics and enables the group to continue delivering sustainable growth and obviously the best governance standards. I on that took a deep dive of his work streams in the first half. Well, let me highlight one development since those results is a unique partnership with UNICEF. When engaging a five year Pan African partnership, providing good financial and in kind contribution of about $57 million spread over five years, up to 2027. The purpose is accelerate the rollout of digital learning through connecting schools to the internet and ensuring free access to learning platforms across 13 countries in Africa by providing equal access to quality digital learning, particularly for the most vulnerable children this partnership will help to ensure that every child can reach their full potential. We're targeting about 1 million children in Africa for these. Finally, we have made tremendous strides in environmental pillar. In the last few months with [Indiscernible] were spared to publish part which would net zero very soon, followed by our first sustainability report towards the end of the year. And then finally from me, if you weren't on the outlook, I assume from our resource, our financial, operational, strategic and sustainability fundamentals remain very strong. We continue to demonstrate positive developments on every key metric. From an outlook perspective, we remain very excited about the long term opportunities for our business. We continue to build on a strong track record of milestone deliveries. Our near term focus remain on improving our network quality and availability and offer expanding our distribution to be closer to our customers. These are the fundamentals of our business. This year, we have added focus on ensuring a successful rollout of our Nigerian mobile money business. Going forward, we continue to actively mitigate all of our material risks. And there are many, the world is currently facing increasing inflationary pressures for which cannot be totally new. But which we seek to contain as much as possible as you continue to target good revenue growth ahead of the market, and further morbid margin expansion for the year ahead. And with that, I'd like to thank all of you for your attention to this. We will be pleased to take your questions. Thank you. 
Operator: Thank you very much. [Operator Instructions] Our first question is from Jonathan Kennedy-Good of JP Morgan. Please go ahead.
Jonathan Kennedy-Good: Good afternoon and congrats on the results. Three questions from me just on the pace of a rollout that we should be expecting in Nigeria for mobile money. Do we see significant revenues coming through in the second half? And also on the cost side will there be enough revenue to offset costs or will it be margin dilutive another question just on your longer term outlook there. Obviously Nigeria has higher ARPUs than the remaining regions you disclose. So just wondering whether we should think about mobile money ARPU is higher than the group average. I think it's currently sitting at about $1.90 for the group. And then finally on cash up-streaming. Can you give us a sense of whether you recently repatriated money from Nigeria? And if so what kind of exchange rate? Thank you.
Segun Ogunsanya: Let me start with the mobile money business. We've been preparing for this for the last two years. So I can confirm that we're ready for the rollout. Of course, in the early days, revenues would slowly increase, we wouldn't expect a very significant contribution to our revenue in the current financial year, we're going to spend the next few months to scale up the business with significant performance in the next financial year 2024. In terms of costs, as well, remember, I've got a very strong foundation upon which we're building a mobile money business in Nigeria. Like I said, we prepare for this in the last 2 to 3 years. So I don't expect is significant cost uptake coming from the rollout of mobile money business. We've already developed the IT infrastructure required. We have already rolled out the infrastructure. We are hiring some people and where's bet me so much of the spend is on marketing and maybe not distribution, but about the impact is not going to be strong in the bigger contest of metrics in Nigeria. I would ask Jaideep to provide, Jaideep you want to take that from Nigeria.
Jaideep Paul: Yes. So firstly, we as you know that we operate in 14 countries and we continue to maintain sufficient cash balance and upstream across various geographies, including Nigeria. We have done about 140 odd million dollar of upstream in the past is the last financial year. And we continue to do that in the current financial year. Obviously, the cost is slightly higher than the official rate. Normally, the cost comes to around between 480, 490 per dollar as up-streaming cost. I mean, that's a additional cost, which we incur.
Segun Ogunsanya: Thank you. And a bigger picture, we will still choose to now lead million dollars in investment. Anyway, from a number of countries in Africa, some from sale of towers some from the remittances of the profits made, and the HoldCo, we not only industries in terms of cash finances have been able to meet any of obligations. Yes, Nigeria is one of our very significant operations. But we continue to mitigate the risk of [Indiscernible] the balance of 14 countries we have in our portfolio.
Jonathan Kennedy-Good: Thank you just a point of clarification, my understanding from your comments is that you have streamed about 140 million from Nigeria and about 900 million in total from all the OpCos including some asset sales. Would that be fair?
Jaideep Paul: Yes, yes. So total is in the range of, let's say, between $850 billion and $900 billion, which included the tower sell of tower sales proceeds of about two $40 million. And the balance is through dividend and shareholder loan repayment.
Jonathan Kennedy-Good: Thank you. That's very helpful. Thank you.
Operator: Thank you very much. The next question is from Maurice Patrick of Barclays. Please go ahead.
Maurice Patrick: Thanks, guys. Just a couple of questions from my side, please. The first one, just on your mobile money, momentum, I sort of noticed the having sort of looked at the orange results, they saw a fatty material slowdown, in fact decline in their mobile money revenues, they cited the impact of wave specifically. Just curious to hear a bit about whether you are seeing any impact of that on your business. And maybe once you talk about that, what sort of sort of defensive mechanisms you putting in place for likely entrance for new entrants will be helpful? And then the second question, if I may, just I think the IPO we sort of talked about $600 million, $700 million this year, a bit higher, is most of the Delta about the done at the Nigeria? PSB. So I guess, should we expect, once you've rolled out from other money in Nigeria, that maybe CapEx falls back to that 600 million, 700 million level? Thank you very much.
Segun Ogunsanya: Okay, let me start with the last one about CapEx with the provided for $30 million in the current full year for Nigeria to become significant part of the CapEx about $30 million we've made provision for [Indiscernible]. I will now go to your first question about wave and the impact on mobile money businesses. We have a common market where we've appraise abilities in Uganda, we've got about 8 million customers in Uganda, and we've got 1000s of customers. Our models are exactly the same. We got unique advantages over the new FinTech companies who have reached in our markets, until it will set us aside one is our distribution infrastructure. We have got the combination of owned retail outlets, and third party outlets. The owned ones are very unique to us, they work exclusively for us and the numbers are huge. The second thing we are going for is a captive customer base, got about one to 18 million customers will use us for mobile services, they are potential customers for mobile money services. That's also unique to us. Third one is an ability to create an ecosystem, an ecosystem of banks and ecosystem of switches, an ecosystem of technology partners that would rather work with the economy with 120 million, 130 million customers and a very small compared to few customers. And finally, the platform that we've created, very unique, we're able to serve the bottom end of the customer -- high end of the customer work on smartphones with applications. Those forces clearly distinguish us from FinTech companies who enter this space. And it's going to be a lot more difficult for them to overcome this unique, especially our distribution outreach, we sell in our time, we've developed and delivered a distribution infrastructure that can reach a lot more people, but a lot less amount than what most of the competitors are able to do.
Maurice Patrick: That's great. Thank you very much for the detailed answers.
Operator: Thank you very much. The next question is from Rohit Modi of Citi, please go ahead. 
Rohit Modi: Thanks for the opportunity. Just a question from my side and apologies in advance if this has been answered and I couldn't hear. Of course, firstly, on the net registrations, it's been almost a month since the ban, can give more color in terms of consumer behavior you've seen after that, in terms of usage of data, packs for the customers who got the ban on their voice, outgoing voice, do you see they're still recharging for data or no use of SIM cards for those customers? Secondly, on East Africa, there has been a small decline in number of subscribers in East Africa just get more color in terms of this business as usual. Are you seeing any competition in a specific country? Thank you.
Jaideep Paul: Let me speak about NIM. As some of you may be aware, at the end of March 2022 the government has asked for any customer with not been able to attach this menus like an identity number two is a SIM card, we should bar them from making outgoing calls. This we've done. They are still able to use our services for data, voice SMS but are unable to make outgoing calls. After we banned close to 12 billion customers, we receive the NI from like 4 million of them. 3.6 of them receive NIM, we've successfully added about 1.6 million of the NIM number to the SIM card and he resumed using our full services, outgoing calls, data and SMS that we've done. We're still working with a large number of customers who've been unable to give us correct NIM or who don't have an NIM what is done is to open a lot of outlets, to make it easier for those customers to walk into any of those outlets, present the right identity and get registered for NIM. Of course, the process isn't as fast as we'd like it to be. But we continue to engage all the regulatory agencies in the country to make this painless exercise for the customers will be not able to attach the NIM to the SIM card. Yes, we see some impact on revenue. If you're unable to make outgoing calls, of course, it affects over all that green waste of money. We've also seen a bit of SIM consolidation, we've seen a lot more customers will transfer in their usage to the SIM card that has been properly registered. So some head wood coming from no NIM and a bit of increase which is coming from SIM consolidation. We are going to continue to work with all the relevant authorities in Nigeria to mitigate the impact of these require the regulation which is meant to ensure security in the country. I think there was a second question on East Africa. In East Africa we had some [Indiscernible]. We don't give guidance country by country. But sometimes in the middle of the year regulators in two of our key going to change the ways customers are registered, requiring a lot of biometric registration. This affected the ease with which customers register for services or the stood of customer edition process. We fully recover from this, we've provided enough devices for customers to do biometric registration. So I can confidently say that I made the headwinds that came from this new ways of on-boarding customers into of our countries in East Africa. We put those behind us. We made progress in Q1.
Rohit Modi: Thank you. 
Operator: Thank you very much. [Operator Instructions] The next question is from [Indiscernible] of HSBC, please go ahead.
Unidentified Analyst: Hello. Yes hi. Thanks for taking my question. I have four questions. Some of them are quite quick. So huge thanks, consuming ones. So the first question is on the data revenue growth trends, especially in Nigeria. So just looking at the numbers for the fourth quarter, the growth was around 32% if I'm right, and when I compare that with what MTN did in the country, it was around 54%, 55%. So just wondering is there any specific reason why Airtel should be growing slower than MTN in Nigeria on data site or are you happy with this current growth run rate in Nigeria? And the second question is just trying to understand the CapEx increase for the next year. Is it mostly because of mobile money? Because I kind of I remember you said 30 million is what you were planning to spend on mobile money in Nigeria? And then another question is on the network configuration currently. I could see that now, bulk of your data is getting carried on the 4G network. So should we start expecting the 3G network also getting let's say phased out anytime soon? And if that were not to be the case, then how much of the voice traffic probably is getting carried on the 3G network versus the 4G network? And very quick one, on the net income side, if you could just remind me about how much was the one off gains in the quarter and the year? Thank you.
Segun Ogunsanya: Yes, I will take two of the questions, and Jaideep would answer the other question. Let me start with the data revenue in Nigeria. Am I happy with the growth? No, I'm not happy with it, there's plenty of scope to grow faster. Unfortunately, we have a number of problems in January and February, a fiber infrastructure that affected the data revenue for the first two months. We fully recover from this. And we had a decent growth in much the last month of the quarter. Of course, the growth we had in March was not sufficient to accelerate our growth rate. So that's what [Indiscernible] Q1 and I'm very optimistic that we recycle the January, February, destruction that came through network challenges. Talking about the CapEx increase, Jaideep would give more color to the CapEx increase. On your third questions about network configuration, if I give you a mix of the devices and the network, very top level, about 65% of devices and network they are 3G devices, very, very important. About 15% are 3G devices, relatively important. And the second 20% are the 4G devices, most of the data revenue, the 20% of devices, which are 4G they're actually responsible for about 80% of data, traffic, and over 70% of the revenue. So 3G is there is becoming less and less important. Can we completely shut down 3G infrastructure? No, because if it presents to devices that still going to continue to ride up 3G networks for the next couple of years, as you watch the evolution from 3G to 4G, with a very small tabulation from the 3G devices. So we still have couple of years to go with our 3G devices on 3G network. And Jaideep you want to speak to the net income and the CapEx increase.
Jaideep Paul: Yes. On the CapEx increase, is your question relating to next year?
Unidentified Analyst: Yes. 
Jaideep Paul: Okay. So next year, as already mentioned, that we have planned for approximately $30 billion for the PSB rollout that specifically in Nigeria, and we also have additional CapEx planned for all of the countries, roughly between $25 million, $30 million. So that's about let's say $50 billion, $60 billion CapEx allocated for Airtel money. In most of the other countries it is used in the expanding the distribution.
Unidentified Analyst: And to one-off gains in the net income. 
Jaideep Paul: Yes. So coming to one off gains let me first tell you the full year one off gains. So one off gain includes Tanzania, Malawi, Madagascar, sale of towers, and that's about almost $107 odd million and then we have prepayment of bond cost $90 million. Tanzania we have provided for a consortium related expenditure one off $12 million and we have a settlement of or agreement on account of Kenya's spectrum license. That's about $20 billion. So net, net $60 million has been gone, taken into exceptional item above PBT. Then we have sale and leaseback of tower related some impact and some gain on account of tax on the Tanzania settlements. So net, net exceptional item which has been booked is $62 million is the current full year. And out of which Q4 has got $52 million because as you know that Tanzania and Malawi, we have concluded the tower sale in Q4 therefore the profit on sale of power has primarily come in quarter four.
Unidentified Analyst: That's very helpful. Thank you very much.
Operator: Thank you. The next question is from Faisal Al-Azmeh of Goldman Sachs. Please go ahead.
Faisal Al-Azmeh: Hi, and thanks for the opportunity to ask questions. Just a quick question on my end, or three quick questions on my end. Maybe the first is just on your leverage profile targets. What's the target leverage structure that you aim to achieve over the coming years and at what point do you feel you would have room to upgrade your dividend policy? Is it more related to a certain net debt to EBITDA ratio or do you feel more comfortable to up the dividend once you localize a certain amount of debt at the OpCo level? That's my first question. My second question relates to your margin profile. You've made meaningful meaningfully or you've achieved a meaningful uplift in the group's margins over the past few years. At what point do you feel that we've reached a normalized level and the upside would be limited? Or do you still see room to achieve higher margins on a two year basis? And then thirdly, what's the update on the listing of the mobile money business and any update on that would be helpful. Thank you.
Segun Ogunsanya: Let me start with the last one on the listing of the mobile money business. Last year in March 2021 when we announced that we selling down some minority stake, we mentioned that within four years, we're going to do an IPO. That guidance has not changed, we are looking at four year period within which we're going to do IPOs. So we have done only one year. So just take that as a guidance, we still hope into IPO within four years. On the leverage, Jaideep is going to give you more fledge, but we don't have any specific target for leverage anymore. We have some policies on how we go to strengthen our balance sheet and will give very specific steps we're going to take to strengthen our balance sheet. Also, on the margin, call the scope for moderate margin expansion, like I said, in my opening statements, given the inflationary environment coming from different prices in different parts of the world, where it's very moderate expansion of margin, where Jaideep might be ready to give you more flavor.
Jaideep Paul: Okay. So let me first give you the broad breakup of this 1.3. So, if you look at our net debt table, you will see a lease liability which is the finance lease obligation, because of the IFRS-16 accounting, which we do for all the sites, which are taken. Now, this is 0.07 times out of 1.3. And this is like a long term date for us and this will continue to grow a little bit every year because we are expanding our network. So every time we put up a site, this lease obligation goes up, and obviously for the full year, and there is a payment which goes against this FLO. So it's a plus and minus every year. And that's what you see that this is going up because of the renewal of the leases, putting additional sites. Now, if you leave that 0.07 which is coming out because of the FLO effectively, if you look at the rest of the other thing, that means we have a excluding FLO we have leverage of about 0.06, let's say 0.06, 0.07 kind of thing. Now I would not be able to articulate any particular target. But I can tell you certain other things and give a color to it. Our whole objective is to strengthen our balance sheet on two key focus areas. One is continue deleveraging on our business, which we have done by the way from IPO to till now from three times it has come down to 1.3 which includes this 0.07 because of the FLO. The second is by de-risking the balance sheet through reducing the amount of foreign currency debt and especially at the HoldCo level and pull down the debt at our operating unit level. So you'll also notice that we have now left with only a billion dollar of one bond, which is falling due in 2024 at HoldCo level. Rest every date has been pulled down to the OpCo, which gives us two benefits. One, as we push down more in local currency, we de-risk our balance sheet from any possible devaluation impact. And the second, we get a tax shield on the interest cost which is a very significant amount, so both are strengthening our balance sheet. And this initiative will continue as we keep focusing, and of course, expansion of margin is the other element which we'll be looking at. You asked another question on the margin profile and how we are looking at it. As we explained in the past, we follow a very simple model that every incremental increase in the revenue has to have a minimum flow through into our EBITDA margin, and that's a model we follow across. And that's what you have seen for last three years. Of course, we are very conscious about the inflationary pressure as we move forward. But we will continue to try our EBITDA margin expansion, as we progress in the subsequent years through this incremental flow through model so that whenever there is a, let's say, $100 increase in the revenue, we should be looking at least $50, $55 have flowed through in the EBITDA margin and therefore, expansion of the EBITDA margin. And the dividend policy, obviously, this is a subject matter of the board. And I can't comment on that, as we have seen that as we improved our leverage, in last October board has reviewed the dividend policy, increase the base dividend by 25% with a mid to high growth as we move progress in the subsequent years. In appropriate time, I'm sure board will relook at this. And we will definitely keep you posted as board really looks at the dividend policy in that time.
Operator: Thank you very much. The next question is from [Indiscernible] of Bank of America. Please go ahead.
Unidentified Analyst: Hi, good afternoon. Thank you for the presentation. I have two brief questions, please. First one sorry, follow up on cash app streaming from Nigeria, you mentioned 140 million upstream last year. But can you please tell us what was the last time when was the last time you have streamed it and at what rate? And the second question maybe if you can quantify impact on your margins, from energy costs, rising. Thank you.
Segun Ogunsanya: Let me take the second question about the impact of energy costs. Because energy is almost 20% of operating expenses across all of course. Most of the ideas used are sense locations in very distant gray areas where we don't have blitz power. With no blitz power the towers rely on diesel power generators, in some instances on solar power generators to generate power for the [Indiscernible]. So we need to just have a good mix of diesel powered sites, and solar powered by grid and powered by solar. Most of those sites are actually owned by our partners or telcos were the ones that pass on the cost of the energy towards some in the direct pass through then most in a manner that the complete increase in wealth cost is not passed on to us. So what we continue to do is, we engage some of those partners to find ways of saving on energy, want low conversion of some of these ideas to others, and we don't require a lot of power. In some instances, we also want them to convert sites that use a lot of green energy, again, no [Indiscernible]. And finally, in some sites where we the anchor tenant as an anchor tenant at the moment is anchor tenant come there is a discount that we do get on our lenders. So just have a comment or these together. Been an anchor tenant, meaning that the second tenant comes on you get some discount. Number two, the conversion or some of the size to others as well. You do use a lot of energy and finally the cost share formula, we have some of the tower costs the full impact of the energy cost is not passed on to us. So we do have some mechanism in place to ensure that the full increase in inflation that is coming from works is not passed on to us. Your first question around remittance from the year, we did a $145 million like Jaideep mentioned in the last couple of months, we've done some additional. So but I will allow Jaideep to give us what we've done, what for the 5 million U.S. financial year, the last couple of weeks ago out of Nigeria.
Jaideep Paul: Yes. So in April, we have, we continue to focus on this upstream. And April, also we did upstream. I won't be able to give the exact rate because it's a very specific transaction. But we continue to do the upstream and the end of April, we have done another upstream.
Unidentified Analyst: Thank you. And 480 [Indiscernible] the last year or April inclusive?
Jaideep Paul: No, no, no. The April was not inclusive in the last year. This April obviously, we’ve come in this financial year.
Unidentified Analyst: No. No. I mean, tax rates that you mentioned it was for last year average?
Jaideep Paul: That was last year, average, I wouldn't be commenting on this year rate. But last year, the average was 480, 490.
Unidentified Analyst: Thank you. 
Operator: Thank you very much. The next question is from [Indiscernible] Securities. Please go ahead.
Unidentified Analyst: Hi, thank you for the presentation. I'll add that this mobile network operators change, like increase their tariffs. So let us, Airtel Africa is going to implement this analysis, impact on the imagine. Thank you. 
Segun Ogunsanya: I believe you're talking specifically about Nigeria, I've seen that mobile network on this one to increase tariffs in Nigeria. And I've seen the response from the regulator, this regulatory decision, I don't think any network operator can increase price without regulators. So I'm unable to comment on this unless you have the final view of the regulator. It is very specific out of the 14 countries where we operate.
Unidentified Analyst: Okay, that's fine. Thank you. 
Operator: Thank you very much. Then the next question is from Alistair Jones of Renaissance Capital. Please go ahead. 
Unidentified Analyst: Hi, there. Yes, just come back to the CapEx question again, apologies for that. Apologies, I didn't hear it clearly first time around just the guidance of the 700 to 750 this year. I know your guidance historically, medium term has been 650 to 700. So once the PSB rollout has been done, which is largely has largely driven that exceptional cost. Is your sort of medium term outlook guidance sticking at similar rates at 650 to 700 or is that something you will address at a later stage? That's the first question and then just secondly, on the mobile money in Nigeria. Obviously you talked a lot in the presentation around exclusivity and the importance and insurance of floats and availability of float and cash, etc. How does that work in the Nigerian context where it's my understanding it is not an exclusive distributions of franchise. So how do you sort of navigate around those issues in the Nigerian market as your roll out the PSB? Thank you.
Segun Ogunsanya: Let me take that. If you look at the number of bank accounts in India, it is said to be around 50%. More than half of Nigerians don't have bank accounts. So we have any two spaces we're looking at one space is a space where you're not in the financial system at all. You don't have a bank account, you don't have your wallet. So that particular space is where you're going to use our distribution reach to fit, making sure people who don't have anything will keep their money either in the hours on the bed or somewhere, we're going to have them open a wallet where they can safely store value in any of our digital units that we've created. That's a unique proposition and we have a unique way of reaching those many customers who are not part of the financial system at all. That is one piece.  The second piece where especially the more competition is in the area where we are studied most of disgruntled customers will have bank accounts. But we are also going to target with mobile money applications. Those are slightly more sophisticated and maybe slightly more competition with other industries, we're going to offer the retail proposition, a lot more financial products. That is way beyond the traditional just mobile wallet. Beyond the mobile payments, we're going to look at stuff like being intermediary for insurance, intermediary for loans, intermediary for investment. That's been a value, where we're going to come to play. Remember, we've got over 40 million customers in [Indiscernible] so to speak, I don't think any of the emerging FinTech has captured customer base. These are customers who are using us for data activity internet, they're using for making phone calls, they already captured on our system that it wants to go to offer these two unique opportunities for the very low end opportunities to have mobile wallet users. And as easy as for the slightly more sophisticated customers’ opportunity to the app that we've already created to access financial products, under the white band that we're looking at. In terms of the CapEx guidance, Jaideep will come back again. But I mean we're very clear that the short term, we added a small amount for our investment in GDP $30 million, $40 odd million [Indiscernible] wants to give more flavor to this.
Jaideep Paul: Yes, I would say in medium term will continue to be in the range of 700, 700 between $700 billion, $725 billion, $730 billion. One of the reasons for that, why we are slightly increasing it because as we expanding our network within our footprint covered, increasing the coverage area, and also increasing the 4G penetration across the footprint. As we've seen that today, we have almost reached 80%. But there's still some way to go. So with all these things, and with the increase in data usage, that gives us the courage of maybe improve increasing the CapEx from earlier guidance of 600, 650 to probably around $700 million between $700 million $725 million and that I think should be broadly okay in the medium term.
Operator: Thank you very much. The next question is from [Indiscernible] Africa Partners. Please go ahead. Your line is open, would you like to ask your question? It would appear that we have some technical difficulties on that line as well. So we have no further questions in the queue at the moment. Would you like to proceed with questions from the webcast? 
Jaideep Paul: Yes, thank you. There are quite a few questions on the webcast. So we'll take just a few of them. But we'll get back to each individual question separately from AR team. First question is on the Q4, Q3 trends and any insights on the trends that you've seen, particularly in terms of growth between Q3 and Q4?
Segun Ogunsanya: If you look at Q4, Q3, 2Q and this is the account for the slowdown in Q4. One is of course, the lower number of days. In Q4, we have 90 days in Q3, we have 92 days. So that's a 2.2% differential coming from the number of days in Q4. The bigger one is on the sale of towers in Tanzania. We lost the revenue from towers -- significant amount of $6 million. So if you would normalize for those two impact, the impact of two less days in Q4. And impact of the revenue that we lost from Tanzania is more or less did no matter on it was better for Q4 versus Q3.
Operator: Thank you. And any comment on the inflationary environment that you see across Africa and Nigeria in particular. And next one is also on Tanzania mobile money, whether you can comment on whether the business return to growth or not.
Segun Ogunsanya: On Tanzania mobile money useless but another quarter, the first quarter will still be very challenging for us. And after this first quarter, I'm going to start cycling the levels affected the quarters of last year. We continue to also work with the government, continue to work with the Bureau's agencies in Tanzania. Showing them that is probably the best interests of the economic messages of customers who have lower levels of targets so that we can stimulate financial inclusion. We are engaging with government on this, hopefully will reach a sweet spot, that the good for the economy and good for the customers as moving away from digital transaction but in the traditional cash economy. So hopefully we would get to a spot with the government. In terms of inflation, yes inflation is affecting the wallets of customers. And we're not immune from this in part as well. What we continue to do is to find ways of mitigating that medium part. But finally, if you look at the first few months of the year we had COVID, which affected most of our customers, who couldn't go out for daily activities, most of our countries are open now. So as we look at the impact of inflation, if we look at the [Indiscernible] almost all of economics in Africa, they open up now, for those who get paid on daily basis, they are back to work, and also increase, we also expect some increase in cash and a mixed bag of foods. One, of course, intuition affected wallet coming from -- and certainly a lot more people able to have a bigger wallet, because they are back to work COVID of the last few quarters.
Operator: And next one is more on Nigeria. Paid to comment on these studies increases and whether it is to approve. So what is the process in terms of price increases, and the strong growth voice of our students in Nigeria is that sustainable?
Segun Ogunsanya: Let me tell you the growth first because if you look at the output that we derive from Nigeria voice improved, data improved. We’re still country that we have many data opportunities, which do not come out of the country in terms of population. And as you continue to expand our 4G footprint, so a lot more data revenue. As I speak. Now, almost all the four towers in Nigeria are covered by 4G, too. So some acceleration in this area, they need to confirm this. Beyond this, we extended our coverage, a lot more of the rural communities where there wasn't very financially viable to do that years ago, we're now taking a different view responding calmly to those areas. So while I spend a lot more of voice revenue, a lot more data revenue we now launch mobile money, we're going to be talking about in and continue to be a very important part of portfolio. In terms of price increase like I said earlier, we don't know the pricing power. Pricing is determined by regulators. Of course that was able to make recommendations to the regulator. But ultimately the regulator will decide to say or no. So I leave that to get us in Nigeria to do what is best for the country.
Operator: And the last one, how do you see your regulatory impact tax environment across your main market?
Segun Ogunsanya: There are different levels of maturity. And we continue to comply with all the rules and regulations in each of the 14 countries where we operate. We don't make the rules. We just have to comply with the rules, if you wreck on that, and there's a lot of improvement to be made. We're engaged with governments are big number of countries talking to ministers or contributors, just finding the sweet spot that will benefit the economy, benefit the operators, and then the greater interest of the customer. That's what we’re after. So yes, we comply with rules. If there is a rule I will have gone is not customer friendly is not operator friendly and they find ways of making them more friendly in the bigger interests of all stakeholders.
Operator: Thank you again for joining the call. And we look forward to seeing you as many of you as possible in the next few days and operator you can now close the call. Thank you.
Segun Ogunsanya: Thank you very much.
Operator: Thank you very much. Ladies gentlemen, that concludes this event and you may disconnect.